Operator: Good day, and thank you for standing by. Welcome to the Casella Waste Systems, Inc. Fourth Quarter 2025 Conference Call. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Brian Butler, Vice President of Investor Relations. Please go ahead.
Brian Butler: Thank you, Marvin. Good morning, and thank you for joining us on the call. Today, we'll be discussing our fourth quarter and full year 2025 results, which were released yesterday afternoon. This morning, I'm joined with Ned Coletta, President and Chief Executive Officer of Casella Waste Systems; Brad Helgeson, our Chief Financial Officer; and Sean Steves, our Senior Vice President and Chief Operating Officer. After a review of these results, and an update on the company's activities and business environment, we'll be happy to take your questions. But first, please note that various remarks we may make about the company's future expectations, plans and prospects constitute forward-looking statements for the purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section on our most recent Form 10-K which is on file with the SEC. In addition, any forward-looking statements represent our views only as of today and should not be relied upon as representing our views on any subsequent date. While we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our views change. These forward-looking statements should not be relied upon as representing our views as of any date subsequent to today, February 20, 2026. Also during this call, we'll be referring to non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. Reconciliations of the non-GAAP financial measures to the most directly comparable GAAP measures to the extent that they are available without unreasonable effort, are included in our press release filed on Form 8-K with the SEC. And with that, I'll now turn it over to Ned Coletta to begin our discussion.
Ned Coletta: Thanks, Brian. Good morning from Rutland, Vermont. As my first earnings call as CEO, I want to begin by saying how honored I am to lead this exceptional team into the next chapter of Casella's growth. I'm energized by the opportunities ahead and confident in our ability to continue building long-term value for our shareholders, customers, and employees. We closed the fourth quarter with performance that reflects sustained organic growth, meaningful operating improvement, and continued strategic momentum across the business. For the full year 2025, revenues increased 18%, Adjusted EBITDA increased 17%, and adjusted free cash flow increased 14%. This marks our fifth consecutive year of double-digit growth across each of these three metrics, a testament to the durability of our business model and the strength of our strategic plan. Importantly, Adjusted EBITDA margins, excluding acquisitions, expanded 55 basis points year-over-year. Margin improvement was driven by disciplined collection pricing, higher landfill volumes, operational efficiencies, and synergy realization from prior acquisitions. We completed 9 acquisitions in 2025, representing over $115 million in annualized revenues. We started 2026 strong, and on January 1, we closed the Mountain State Waste acquisition, which adds approximately another $30 million in annualized revenues and expands our Mid-Atlantic segment into the West Virginia market. Our balance sheet remains a strategic advantage for us. We finished the year at 2.3x levered, with over $700 million in liquidity to fund future growth. Our acquisition pipeline remains robust, with opportunities to further densify within our existing footprint and growth options to selectively expand into geographically adjacent markets that align with our strategic plan. Now, looking at our 2025 segment performance. In our solid waste collection and disposal operations, revenues increased 20.3%, driven by disciplined organic growth and another strong year of acquisitions. Base collection and disposal margins, excluding acquisition impacts, increased 170 basis points year-over-year as we generated a positive price to cost spread, continued acquisition integration efforts, drove higher landfill volumes, mainly through internalization, and generated cost savings through operational optimization initiatives. In the second half of 2025, vehicle deliveries improved as expected, and we received 40 automated trucks that were delayed earlier in the year. We expect these vehicles, along with the associated labor efficiencies and route optimization, to generate more than $5 million of savings in 2026. Our team did a great job in the second half of 2025, advancing the key acquisition, integration, and system conversion initiatives in our Mid-Atlantic region. We have substantially completed the migration of customers from acquired billing systems to the integrated Casella Lead to Cash System, and we expect the remaining migration work to be completed by the end of the first quarter or very early in the second quarter. Once completed, we can start the real exciting work of rolling out additional automated trucks, consolidating routes, and optimizing pricing and profitability. We continue to make permitting progress on our expansion efforts at our Hakes and Hyland landfills in New York, with the Hakes permit expected in the next couple of quarters and the Hyland permit expected within the year. We are working to more than double the annual permit at Hyland from 460,000 tons a year to 1,000,000 tons, and we would also add close to 60 years of capacity at current run rate. At the Hakes C&D landfill, we're permitting a 10+ year expansion. These expansions are important with the expected closures in New York over the next several years, including the expected closure of the Ontario County landfill at the end of 2028. The McKean Landfill Rail Upgrade Project remains on track for completion in the second quarter of 2026. This will allow us to offload municipal solid waste, contaminated soils, and C&D materials from gondolas at the landfill. Our resource solutions segment also delivered a strong year, with revenues up 9.1% and segment adjusted EBITDA up 9.6%. This reflects strong national accounts performance and operational efficiencies from the upgraded Willimantic Recycling Facility. While current recycled commodity prices are trading at roughly 20% below 10-year averages, our effective risk management programs pass much of this commodity volatility back to our customers through the floating, processing, and SRA fees. These tried and true programs are effectively offsetting about 80% of all commodity downside risk, helping us to generate consistent returns on our recycling business in all market cycles. Pivoting to 2026, we exited the year with strong momentum and a solid setup for this year. Our frontline team has done an amazing job this winter, providing solid customer service through one of the coldest and snowiest winters we've experienced in over a decade. Despite these operational headwinds from the bad winter weather, we remain very confident in our outlook, driven by sustained pricing strength, continued self-help cost initiatives, automation benefits, and a very attractive acquisition pipeline over $500 million of annualized revenues. We're focused on both densification and strategic expansion opportunities. Our team is laser-focused on improving safety and employee engagement in 2026. We've added several key new safety and HR leaders to the organization. We're focused on process improvements, and we're investing in key systems such as AI-enabled onboard truck technology. With that, I'll turn it over to Brad to provide additional details on the fourth quarter performance and financial results.
Bradford Helgeson: Thanks, Ned. Good morning, everyone. Revenues in the fourth quarter were $469.1 million, up $41.6 million, or 9.7% year-over-year, with $23.1 million from acquisitions, including rollover, and $18.5 million from same-store growth, or 4.3%. Solid waste revenues were up 9.9% year-over-year, with price up 4.4% and volume down 1.1%. Within solid waste, price in the collection line of business was up 4.6% in the quarter, led by 5.3% price in frontload commercial, and volume was down slightly at 0.3%, with modestly positive volume in frontload and residential, but weakness in roll-off, down 5.2%. Price in the disposal line of business was up 4.1% and third-party volume down 4.5% year-over-year. However, this stated volume decline is misleading for a couple of reasons. First, results at the landfills were steady, with same-store price up 2.5% and total tons up 1.7%, including nearly 10% growth in internalized volumes. Our reported numbers only refer to third-party volumes. Second, the decline was also largely driven by the transfer station and transportation businesses, with little net impacts to EBITDA. The important point here is that the landfill business is healthy, and we're confident heading into next year, as I'll discuss in a few minutes. Resource Solutions revenues were up 9.1% year-over-year, with recycling and other processing revenue down 1.4%, impacted by lower commodity prices, and national accounts up 15.6%. Within Resource Solutions processing operations, our average recycled commodity revenue per ton was down 27% year-over-year, with softer markets across the board and most commodities selling below 5-year averages. Notwithstanding market pressures, our contract structures share this risk with our customers by adjusting tip fees in down markets, so the net impact of lower commodity prices on our revenue was less than $1 million. Processing volume in revenue terms was up 12%, driven by higher volumes at the Willimantic Recycling Facility, which was down for its upgrade in the fourth quarter last year. Within national accounts revenue, price was up 3% and volume up 9%. Adjusted EBITDA was $107 million in the quarter, up $12 million or 12.7% year-over-year, with $3.3 million of contribution from acquisitions, including rollover and 9% organic growth. Adjusted EBITDA margin was 22.8% in the quarter, up approximately 60 basis points year-over-year. Bridging the year-over-year change in adjusted EBITDA margin, new acquisitions contributing at lower initial EBITDA margins than our overall business, diluted margins by 40 basis points in the quarter. The base business, excluding new acquisitions completed in the past 12 months, expanded margins on a same-store basis by 100 basis points, driven by the collection business across our footprint, including the Mid-Atlantic. Recall the privately held businesses that we acquire typically operate at lower margins, which can create short-term margin dilution. As we integrate these businesses, capture synergies, and apply our operating model, they become margin expansion opportunities over time, creating a regenerative benefit as we continue to execute our acquisition strategy. Cost of operations were $313.8 million in the quarter, up $27.2 million year-over-year, with $17.4 million of the increase from acquisitions and $9.8 million in the base business. Excluding acquisitions, costs of operations were down 60 basis points as a percentage of revenue on a same-store basis. General and administrative costs were $55.9 million in the quarter, up $3.7 million year-over-year. As a percentage of revenue, G&A was down 30 basis points year-over-year, reflecting increased IT spend, but also favorable incentive comp accrual adjustments. From a G&A standpoint, 2026 will be a pivotal year as we lay the groundwork with better systems and process for becoming more efficient in our back office and generating better scale as we continue to grow. Our goal is to begin to benefit EBITDA margins with lower G&A as a percentage of revenue in 2027, and for this to become a consistent tailwind to margins for years beyond that. Depreciation and amortization costs were up $13.3 million year-over-year, with $4.2 million resulting from the recent acquisition activity, including the amortization of acquired intangibles. You'll note that we isolated a charge on our income statement and adjusted the EBITDA reconciliation this quarter for the accrual of closure costs at our Hawk Ridge Organics facility in Maine. With the ban on land application of organics in Maine, it made economic sense for us to close this facility and redirect the material primarily to our landfills. We anticipate approximately $3 million of additional costs related to the closure of the site in 2026, which will not impact adjusted EBITDA. Adjusted net income was $18.9 million in the quarter, or $0.30 per diluted share, down $3.4 million, or $0.05 per share. GAAP net income was down $7.4 million in the quarter. Net cash provided by operating activities was $329.8 million in 2025, up $48.4 million or 17% year-over-year, largely driven by EBITDA growth. CSO was essentially flat from September and last year at 36 days. Adjusted free cash flow was $179.9 million in 2025, up 14% year-over-year. Capital expenditures were $245.1 million, up $41.8 million year-over-year, including $66 million of upfront investment in recent acquisitions. As of December 31, we had $1.17 billion of debt and $124 million of cash. Our consolidated net leverage ratio for purposes of our bank covenants was 2.34x, and our $700 million revolver remained undrawn. Our liquidity and leverage profile will enable us to be opportunistic in continuing to execute on our growth strategy and robust acquisition pipeline. As laid out in our press release yesterday, we announced financial guidance for 2026. This guidance included revenue in the range of $1.97 billion to $1.99 billion, or 8% growth at the midpoint. Adjusted EBITDA in the range of $455 million to $465 million, or 9% growth at the midpoint, and adjusted free cash flow in the range of $195 million to $205 million, or 11% growth at the midpoint. All of this is consistent with our preliminary outlook, as communicated on our third quarter conference call in October. Our guidance ranges reflect acquisitions completed to date, including Mountain State Waste, which closed on January 1, and assume a stable economic environment for the balance of the year. While we expect to continue to be acquisitive this year, our guidance does not reflect any further acquisition activity. On the top line, our guidance includes approximately $60 million from acquisitions, or 3% growth, which includes rollover and the Mountain State Waste, and approximately 4.5% organic growth at the midpoint. In the solid waste business, we're planning pricing of approximately 5%, which we aim to cover and stay ahead of inflation. As a reminder, we retain pricing flexibility across approximately two-thirds of our collection revenue, so we are well positioned to respond to changing conditions, if necessary, as the year progresses. Solid waste volumes are expected to be approximately flat plus or minus, with continued churn in our collection book of business reflected in that estimate, particularly as we integrate new acquisitions. Bridging 2025 adjusted EBITDA to our guidance, $10 million to $15 million is from acquisitions, and approximately $25 million or 6% is base business organic growth at the midpoint. Our adjusted EBITDA guidance range implies approximately flat margins to 40 basis points of margin improvement in 2026, which is largely the base business. This improvement is expected to be driven by strong, consistent pricing, benefits from integration and synergy realization with our acquisitions in the Mid-Atlantic region, ongoing operating improvements in our collection business, and higher overall landfill volumes year-over-year. These drivers are expected to be partially offset by the closure of our Hawk Ridge Organics facility and lower volumes at our North Country landfill in New Hampshire, as we ramp down volume ahead of anticipated closure at the end of next year. We expect adjusted free cash flow to grow at approximately 11% at the midpoint of guidance, driven by adjusted EBITDA growth and reflecting capital expenditures of approximately $260 million, which includes approximately $65 million of upfront spend in connection with recent acquisitions, and a small remaining investment to complete rail access capability at the McKean landfill.  With that, I'll turn it back over to Ned for some closing comments.
Ned Coletta: We're turning over to the operator right now for questions. Thank you.
Operator: [Operator Instructions]. And our first question comes from the line of Tyler Brown of Raymond James.
Patrick Brown: Ned, congrats on everything. But I want to kind of start just to ask you a really big picture question. So -- can you just help us shape a little bit about your vision for Casella, say, over the next 5 years? I mean do you want to speed up, slow down M&A? Are you looking to do bigger deals, smaller deals? Are you really focused on self-help? I'm going to leave it pretty open ended, but just, what's your message to shareholders and employees about your vision for Casella?
Ned Coletta: Yes. Thanks, Tyler, for throwing a hard ball for the first question. I appreciate that. So not a lot changes in many ways. So John and I, as you know, have had an amazing partnership for many years and much of the strategy of the company, we've shaped together with senior team. So there's not a right turn coming in and no one should expect that. We're focused on the same building blocks that have created a lot of value for shareholders over many years. This year, myself, I'm focused on a few different things, making sure our workforce is safe and engaged, and we're really continuing our investment in our safety staff, our processes, technology there. We're also focused on upping our game from an HR standpoint and as we've grown dramatically, making sure that are all of our employees really understand our culture, what makes us special and why we're such a great company to work for and how to support each other. We're also focused on internal communications and just making sure that we all know each other, and we have great ways to communicate up and down the organization as we've grown. And the last point kind of gets to what you're talking about. For many years, we've had excellent strategic plans as a company and it's really directed a lot of our success for the long term. But just really making sure our employees live in both the daily work they need to get done and also looking to the future and looking over the next 3 to 5 years into strategy and into key programs from a self-help standpoint or our growth initiatives and just ensuring we have alignment up and down our management team in those areas. So as I started with, no major right turn, we're going to be focused on the same major building blocks driving incremental value through our landfills through additional permit capacity and cost reductions, better utilization, additional profitability, our collection line of business, pricing, automation, optimization, driving value through our Resource Solutions business as we've done very, very well over time. And then the growth initiatives, both on acquisitions and development, our pipeline is very, very good right now. We've got a lot of great opportunities for '26. I think it will be a nice solid year for us on the acquisition growth side. So overall, much of the same, but a lot of excitement in the company right now. We exited the year in a great spot and a lot of smiles around and people working very hard.
Patrick Brown: Excellent. Okay. That was fantastic. And then you gave some good color on the Mid-Atlantic. It sounds like the new system. It is going to be fully rolled out by, call it, Q2. It sounds like the new trucks are landing, but is it right that you're only baking in about $5 million of synergies into the guide?
Ned Coletta: Yes, we're probably a touch conservative. We have completed almost all of the systems integration work. There's a little bit left to be done. It'll be done kind of early here in the first quarter. No risk around it. It's just migrating from the legacy customer billing portal into our in-suite portal, and that will be completed and will allow us to start to collapse routes, gain synergies on the street, get more of those automated trucks out and gain some real efficiencies in the back office. But we're being a touch conservative for a few reasons. One, we got to get this work done. It's not all going to show up this year, but we're also doubling up on many costs as well. We're running multiple systems at the same point in time. We're investing both CapEx dollars, but also operating dollars in a lot of this transition and migration work that's running through our income statement. So there's more to come here. As we've said, this is a multiyear opportunity and will be a positive tailwind for a couple of years.
Patrick Brown: Right. So it's probably operational opportunity routing, et cetera. But then longer term, there's some opportunity to surgically price. Is that right? And any thoughts about what that could mean?
Ned Coletta: Yes. I mean, certainly, when we have all the businesses running on the same system, we'll have a much better ability to assess customer profitability, route profitability and price accordingly and they're doing the rest of the business. So that will be a big opportunity going forward. I think it would be a little premature for us to put a dollar number on that, but you can imagine what that opportunity could be. And then going forward kind of beyond this initial wave of synergies, facility consolidations, long-term route consolidation opportunities as we continue to fill in densifying that market with tuck-ins. There's a long list of opportunities that will extend far beyond 2026.
Patrick Brown: Okay. So '27 sounds good on that front. But Brad, you also made an interesting comment about G&A leverage starting in '27. I mean I know you guys run a couple of hundred basis points higher than maybe peers. But can you talk about what are we talking about quantum wise from a G&A leverage perspective, '27, '28, '29, I mean however you guys want to frame that?
Ned Coletta: Yes. I mean we run a little over 12%. The industry benchmark with our admittedly much larger peers, is closer to 10%. So that's the long-term goal. That's sort of our North Star. I think the first step for us over the next, call it, 3 to 5 years, will be to get -- go from 12% down to below 11% and then keep the trade enrolling. But we have a number of opportunities and projects that we have lined up in different areas this year to start to get some benefits in the numbers in 2027. As I said, '26 is sort of a pivotal year for laying a lot of groundwork for what we're going to be able to realize going forward.
Operator: Our next question comes from the line of Tami Zakaria of JPMorgan.
Tami Zakaria: I wanted to follow up on that volume comment you made. Just from a modeling perspective, could you provide some color on volume growth as we see the 4 quarters this year?
Ned Coletta: Yes. I'll turn it over to Brad in a second, but I wanted to make -- Brad mentioned this in his prepared comments, but I want to double down on it. Stats are as good as the stat is. So like if you look at our volume stat in the fourth quarter, especially on the landfills, it looks a little weak. But it only looks at third-party bonds. It doesn't look at overall volumes coming into our landfills. And as Brad said, with very strong remixing at our landfills from third-party customers to intercompany customers. So our tons were actually up 1.7%, while our volume stat was down. So that statistic doesn't tell the full story because it just look at third-party revenues. And if you look at that rolling into this year, Brad, and take that as a backdrop, we actually had a pretty good volume quarter in the fourth quarter. It might not have showed up in the stat on the third-party side.
Bradford Helgeson: Yes. looking ahead to 2026, we do expect landfill third-party volumes to be a positive for growth. So, you know, I think what you saw here this year was a little bit of a blip as we shifted really to emphasize more internalization where we could. On the collection side, just to give kind of the full volume picture, you know, we're looking at flat growth-ish. We're hoping to bend the curve and start to grow the business organically via volume. As we've acquired so heavily in the last few years, there's been a churn that's been ongoing and, you know, volume on the collection side has been a net negative. And as we've, you know, like everybody else, prioritized price and making sure we have appropriate margins and returns from our customers. But we think we have an ability to grow this business in our markets, particularly in Mid-Atlantic, as we get our feet under us there, going forward.
Tami Zakaria: Understood. That's very helpful. And one more question -- follow-up question on the G&A comments you made. I think you said this year is a pivotal year that would pave the way for a multiyear cost improvement. The goal is to get to for like the industry average 10%-ish. Is there a way to frame how you get there? Do we see some accelerated basis point improvement next couple of years and then it's sort of eases into a 10% range? Any way to sort of frame the opportunity here?
Bradford Helgeson: Let me maybe frame it at sort of a high level. You know, our back-office processes at Casella are very, very manual intensive, and don't offer us much scale as we continue to grow. So we grow the business, we have to add more people. You know, as we improve the technology, the utilization technology, and the tools available to the team, consolidating our billing system, which we've talked about a lot, we're putting in a new maintenance system as we speak. We're getting ramping up utilization of our procurement system. So there are many things kind of below the surface that we're working on, that will, you know, when we come out of 2026, it's not going to be magically, you know, on January 1, 2027. But the process we're going through is to end up where we're much more scalable, and we can really grow, or rather, shrink that percentage of revenue as we grow.
Ned Coletta: And it's even a little more pointed than that, where you know, many of these programs started, you know, in early 2025, and both in 2025 and 2026, we've had doubled up costs because in some certain cases, we're running multiple systems at the same time. We have additional staffing during these transitions. So there's definitely not just the efficiencies that Brad's talking about, but there are just some redundant costs in the business right now as we're making this technology transformation. But like many things, very well thought out, not that there aren't areas of large technology risk, as we talked about before, which is upgrading tried and true systems we've had before and improving integrations and really gaining efficiencies.
Operator: Our next question comes from the line of Adam Bubes of Goldman Sachs.
Adam Bubes: You talked about the volume performance, including some more internalization, rather than taking in the third-party tons. You know, I think understand the benefits of internalization, all else equal. But can you just talk about the decision to make that trade-off, the economics for substituting external volumes for internal volumes? And then longer term, how do you balance the opportunity to drive internalization with the need for backup capacity in the Northeast?
Ned Coletta: Yes. Over the last couple of years, we're running a little bit short on landfill volumes at some of our key sites, especially through New York State. Typically, you want to run a landfill, say, 85% to 95% full in a year, and we're a bit short to that. In 2025, a lot of our effort shifted to getting the transportation lanes in place, the equipment in place, integrating acquisitions, getting those tons into our landfill sites. And as we exited 2025, we got a lot of that work done. And it was exciting because it gives more stability to the business. If we can control more of the tons through vertical integration, it creates more stable, lasting value over time. But we also were filling up our site, so as we were making some of those moves, we had to, you know, exit some third-party tons from our landfills, hence a little bit of that negative third-party stat. But overall, we had more tons coming into our landfill sites in a really nice mix improvement as well. So that's something, we're in a pretty good spot right now, '26 will not see a shift like that, where we're remixing again. We'll be focused very much on quality of revenue at the landfills and driving higher returns and moving up the average price point.
Adam Bubes: Great. And then I know it's still early, but hoping to get your initial thoughts on where the internal and external tons at your Ontario landfill could head post-2028, and any cost implications that we should keep in mind during that process?
Ned Coletta: Yes. So, this is something we're still mapping out, and we'll get more information to shareholders, but this has been a known closure point for us for a couple of years. So we've been building up to this, what we feel good about our balance sheet accruals and the glide rate getting to that endpoint. We don't expect, you know, charges or something like that. We expect all of these costs to be accrued for appropriately leading up to that closure. The site's taking in about 850,000 tons a year of waste as we currently speak. As we've been talking about for several quarters, we've been actively working on an expansion at our Hyland landfill in New York for close to 5 years, if you can believe that, and we're very close to the end of that process, and we'll be going from 460,000 tons to 1 million tons a year. So quite a few of those tons from Ontario will move over to Hyland, and the highest quality revenue tons will move over. We've also been in the early stages of some other expansion work that could help with some of those additional tons in the market, where we may shed some of those tons as well. But as we're mapping this through, we'd like to be in a situation where our quality of revenue improves, our returns improve, and we don't see any sort of major step down from an EBITDA standpoint at the end of 2028, coming into 2029.
Bradford Helgeson: Yes. Ned, just to add on to that, I mean, Ned referred to returns. I mean, Ontario has been a great disposal outlet for us and our customers for a number of years. It's, on a volume basis, our current volume basis, our largest site, but it's also a very, very expensive site to run from a cash flow perspective, and from a EBIT and net income perspective. So, you know, as we reblend that over time, move some volume to Hyland, move it to some other places, yes, and then coming through that, we may end up with a -- or not may, we expect to end up with a much better cash flow and earnings profile from those tons.
Operator: Our next question comes from the line of Trevor Romeo of William Blair.
Trevor Romeo: A couple for me here. I guess first one is on M&A and kind of your outlook here. I think if you look back at the last few years, you kind of added double-digit percentages to revenue from M&A. I think you're coming into this year with maybe a little bit less than the past few years. So just in terms of what's in your pipeline now, you know, are there any bigger deals out there? Do you see opportunity to get toward those kind of double-digit M&A contributions this year? Or you think it'd be more likely it'd be a little bit less than the elevated levels the past few years where you stand today?
Ned Coletta: Yes. Great question. We have had several very strong years. 2023, 2024 were above average years. We were well above $300 million of acquired revenues in 2023. 2024, around $250 million of acquired revenues. And this last year, around $115 million-ish or so. Mountain State Waste, we thought, was going to land in December and ended up landing in January, so that would have brought us, you know, a little closer to $150 million. But where we sit today, our pipeline is really good in the advanced stage. We've got a number of high-quality companies we've been working with for a period of time, several of which are a little bit larger. And we would hope to kind of crest that 150 level, $150 million of revenues in 2026, and hopefully, you know, maybe get above $200 million if the pipeline continues to develop. But from our vantage point, it comes down to quality and strategic fit. You know, you never talk about the deals you don't land, and there are several of those in 2025 that we did a lot of work on, and they just didn't work out for either, you know, compliance reasons or pricing or whatever it might be. And, you know, as a management team, John and I have said this for a lot of years, we're not just buying companies to buy them. We're buying them to make money and to make returns and to advance our business model, and we stay true to that. So from you know, having the discipline to be able to walk away, it's something we've always maintained, and that's why we don't guide acquisitions. You know, you don't want to get in that position where you feel like you have to do something that's not the right value adder. So from our vantage point, we're sitting in a really good spot right now. Our team, our acquisition team, the broader management team has been working hard. John Casella, in his role, stepping into Executive Chairman, is spending a lot of time working on sourcing, acquisitions and continuing to build the pipeline, which is amazing for our team that he can continue to do that. So we're excited about the year and excited about, you know, the glide rate into '27.
Bradford Helgeson: Yes. And just Trevor, from a modeling perspective, and I think you alluded to this in your question, a light rollover number coming into this year because, number one, at $115 million plus or minus of annualized revenue acquired last year. This is a relatively light year for us compared to what's kind of become our run rate. But also, it was front-end loaded. So we actually saw most of that acquisition revenue in 2025. So very little about $30 million rolling over into 2026.
Trevor Romeo: Yes. All right. I appreciate that. It's good to hear that there's still opportunities out there, and good to hear that, John's still active, in the market for sure. Then real quick, just kind of had a question on, on, the guide. I think, Brad, you mentioned the Hawk Ridge facility closure, some of those, tons being redirected to your, to your landfills. Does that kind of capture all the economics, or are you expecting kind of a downward impact there on the scale and the North Country mix that you mentioned, too? You can just help us size and that impact factor there.
Ned Coletta: Yes. You're breaking up a little bit, so let me know if I missed something here. But you know, the Hawk Ridge, it was a relatively -- is a relatively small facility, so we'll see some headwind from that in 2026, and that's baked into our guidance. But you know, net of moving some of those materials to our landfills, I'd say it won't be significant. North Country, from a margin and dollar standpoint, will be more significant. Yes, that probably represents a headwind of 20 basis points to our EBITDA margin, you know, as we ramp down that volume, planning for the end of that facility's life in 2027.
Operator: Our next question comes from the line of Jim Schumm of TD Cowen.
James Schumm: So I just wanted to make sure I have the Mid-Atlantic story down correctly. So it sounded like Ned said in the prepared remarks that you have a $5 million benefit for the new automated trucks in 2026. And so I'm assuming, or maybe this is incorrect, but is that $5 million benefit that's from, like, a labor reduction of the, you know, removing bodies off the back of the trucks? That's you're not assuming any, like, operational benefit from routes and stuff, right? So you've got $5 million that you know about, and then you complete your migration in the next coming days, and then that gives you the opportunity to look at and see what sort of size, what the next opportunity is, which you have not baked in any of that into your 2026 guidance. Is that correct?
Bradford Helgeson: So I'd describe it a little bit differently, and Sean Steves is sitting here, so he can keep me honest. But there's a couple components. One is, as you said, getting the automated side load trucks on the street, replacing reload trucks and the immediate productivity and labor savings that come from that. But it's also combining routes. So once we can combine systems, we can eliminate routes for businesses that are operating today in the same market, overlapping each other. So the way I think I described it last quarter was, you know, the $5 million includes that initial list of as soon as we flip the switch on the system, we're going to go after these routes in this market and these number of routes in that market. That's just the tip of the iceberg, I think, is the point we're trying to make over time, as we'll be able to get more routing opportunities, facility consolidations, and of course, it's regenerative, you know, as we continue to acquire in the market.
Ned Coletta: And just hitting that one step further, Brad, Almost all of the G&A of back office savings already eaten up in the year by redundant systems, by the investment we're making. So the savings are coming, but there -- in the year, we've got that doubled up cost as we're doing this work in the marketplace. So then that's why it starts to show up more in late '26 into '27.
James Schumm: Okay. I just -- because my understanding was you've got these 2 systems. And I think you guys said in the past that you could be running like 2 trucks basically in the same neighborhood, but you're not really sure because you don't have the visibility on it because you're on 2 different systems. So if that's the case, then operationally, you wouldn't be able to remove -- necessarily remove those duplicate or redundant routes yet. Am I not thinking about that the right way?
Ned Coletta: You're close. It's -- so as we've acquired businesses, we left many of them in the Mid-Atlantic on their own, we call it order-to-cash system. So from taking orders from customers through dispatching, routing the trucks and billing and collecting cash, they're on different systems. We're almost completed moving all of those businesses onto the upgraded Casella system, so all of that work will be done in the same system. When they're on different systems, you couldn't start to collapse customers' routes because they're running through different order systems, dispatch, routing systems. Now, they're on the same platform. We've got one or two more steps that need to be made in the first quarter, and then that allows us to have all those customers in the same database. We start to reestablish routes, optimize, consolidate trucks. At the same time, automated trucks are arriving, which allow us to gain more efficiencies. So all of that works together to the $5 million number. It will be bigger over time as we get rid of those redundant G&A costs in the year, and we also get the next legs of this strategy.
James Schumm: Okay. And I would assume that, given the work that you had in the redundant systems, that from an M&A standpoint in the Mid-Atlantic, I would have thought that perhaps you slowed down the M&A in the Mid-Atlantic just because you kind of had your hands full. Is that fair? Do you now ramp up M&A when you have these sort of systems sorted out? Is that fair?
Ned Coletta: Yes. We hit the brakes a touch. That is fair. We've done another 10 acquisitions in the Mid-Atlantic since we brought on the GFL platform two years ago. So we have continued to build density. We've got a great slide in our investor deck that shows, you know, those additional acquisitions we've done over the last two years in the market. But you're right. You know, the gold standard is we acquire a business, either within the first month or the first two months, it comes onto our integrated systems. We start to collapse routes, we get costs out, and we generate synergies faster. We were not in that mode the last few years, and so we've got some built-up, you know, opportunity now. For a little bit, it was an overhang. Now it's great opportunity. We still have that work to be done, and we'll gain those synergies. As you said, as new acquisitions come in, they'll come on to the modern Casella system within the first couple of months, and we'll be able to drive synergy value faster.
Operator: Our next question comes from the line of Benjamin Moore of Jefferies.
Stephanie Benjamin Moore: I wanted to circle back on the Mid-Atlantic opportunity, particularly as it relates to pricing. You touched on this a little bit earlier with the question, but I wanted to get a sense of how you view the overall pricing opportunity in the Mid-Atlantic. I think there's a couple of dynamics, a couple of, I guess, aspects to it. So there's, you know, certainly having the systems in place, which you noted, allowing for dynamic pricing. But also, can you talk a little bit about maybe how the pricing in that region compares to other regions, and then also talk about timing? You know, is this something that you know, you have to effectively do at the start of the year? Can you make these changes, you know, maybe as 2026 progresses, or is this more of a 2027 opportunity? Just kind of wanted to, to drill down on that opportunity a little bit more.
Bradford Helgeson: Yes. Maybe I'll start off filling in some of the numbers and then, I'll hand it to Ned to talk about the strategy going forward. But, overall pricing across lines of business, we were about 3% in the Middle Atlantic, this year. So we've got some pricing, of course, but, we weren't in a position to price as aggressively, for lack of a better word, where it's warranted, because we couldn't really figure out exactly where it was warranted. So if you just do that math, you know, 3% versus our -- the rest of our business, which is north of 5, blending down to the high 4s in the fourth quarter, you know, you can kind of, you know, pencil out the theoretical opportunity. How that plays out, of course, will depend on some factors in the market and what we find out. Timing-wise, you know, I think that work will really begin, you know, call it mid-year, you know, after we're done with the integrations onto the one system, and can really dig into, you know, the pricing analytics. But, you know, beyond that, it's as I think I mentioned earlier, it's certainly premature to put a dollar number on it. But Ned, any thoughts?
Ned Coletta: Yes. This is one of the main reasons why it's important to be on our system, besides the routing. You know, we've got great tools we've developed over the years to understand customer-by-customer profitability and returns. And we want to make sure if we're gonna put assets to work, either part of the capacity of a truck or dumpsters or whatever it may be, that we're making an adequate return for that work. And, as the Mid-Atlantic business is built and, until all of these customers are onto the integrated Casella systems, we have not had a perfect view of profitability and returns of those customers, as we said. So we've been doing, you know, some work, of course, to understand where we need to drive price and why, and how to stay in front of inflation. But it's not done to the same rigor that we've been doing historically across our book of business in ensuring we have the right quality of revenue. So all of those great practices and how we run our business day-to-day, and how we generate solid margins and returns through our collection line of business, all those tools will be brought to bear in that marketplace this year into the future. And let's face it, it's about a 20% EBITDA margin business today. And generally, our hauling businesses as a company are north of 30%. So, you know, there's a lot of opportunity there. I don't think we can say we map it out exactly this much per year, but we know the opportunity is there to improve quality of revenue, to improve efficiency on the street, to have integrations of routes, integrations of business units. There's a lot there, and we look at it as this amazing opportunity. It's a tailwind for us right now. We have these tools, we know how to get this work done, and now let's go get it done.
Operator: Our next question comes from the line of Shlomo Rosenbaum of Stifel.
Shlomo Rosenbaum: Could you just to start, can you talk a little bit -- you've had really good national accounts revenue growth over the last couple of quarters. Can you talk a little bit more about that and, you know, what might be driving that?
Ned Coletta: Yes. It comes from a couple different buckets. It really has been a strong point for us, and there are several different, you know, avenues that we're growing that business. One is more just traditional multi-site retail, maybe broker work, and that's a little bit less exciting. We definitely look for quality of revenue, and we look for opportunities to have overlaps to our hauling businesses, where that might be the channel of growth into our integrated collection business. But probably the more exciting part is our industrial business. We are at higher margin, we're delivering differentiated services, and we've been growing very, very fast into that segment. So both of them are areas of growth, but I think from our vantage point, if we can get the vertical integration and the revenues are recognized through the national accounts group into our integrated hauling landfill business, that's amazing. We try to under index just pure brokered work that we're not servicing, and then that industrial service work, that's where, you know, our sales efforts, our ability to drive value from an operating standpoint, that's where we really shine. And, you know, we've had many years in a row of 10% plus growth, and we continue to drive a lot of value for our customers and our shareholders in that segment.
Bradford Helgeson: One comment about it is, you know, people who are new to Casella sometimes ask, you know, why, they're comparing our margins to some of our larger competitors. Why is there a differential? This is part of the answer. Our national accounts business, which is a nice growth engine, which is obviously little to no capital investment, so a great returning business. It does have a lower EBITDA margin profile because it's functionally a brokerage business. So that's kind of a factor where we make a decision to, okay, this probably just is downward pressure on our margins on a comparative basis, but it's a great business and it fits within our broader business, as Ned described.
Ned Coletta: Yes. I just read in the numbers. Our industrial business grew about 17% in the year. So this is more value-added services, higher margin. So that's the larger growth engine in national accounts and where we've been driving more sales and operating focus.
Shlomo Rosenbaum: Okay, great. Thanks for the color. And then, is there a way to dimensionalize the impact of weather in the first quarter? Because, you know, there's obviously been a significant impact, and you guys are more concentrated in where we have had more of the kind of severe weather.
Ned Coletta: Yes, it's funny. We, you know, we learned a long time ago, try not to make a lot of excuses about the weather. Let's face it, our -- the men and women who work for Casella, they're out there in the cold, the rain, the snow, the ice, every day, taking care of our customers and working very, very hard. However, we did take a look because we've been living this for the last couple of months, and it has been cold, it has been snowy, and, Brian Butler ran some stats for us, and the snowfall across our markets is up 10% versus 10-year averages, but the temperatures are 20% below 10-year averages, and it has been cold. Our team has just done such an amazing job. I mean, being out there at 4:00 in the morning, servicing stops with negative 20-degree temperatures is not easy on our people. It's not easy on productivity. It's not easy on equipment. It's just been -- from a safety standpoint, our safety stats are some of the best we've had in a decade, and the team is just doing such a great job. They're buckling down, paying attention, really being focused, being deliberative in their work and trying not to have injuries or accidents. So, you know, hats off to the entire team because you're right, this has not been an easy start to the year. But as we sit around, look at our numbers, look at our stats, look at, you know, our productivity in the business, we're doing pretty good, given this backdrop and, you know, it didn't cause us to change our view on the year and we're probably a touch behind in January where we want to be. But given those challenges, you know, you look at it, you get a big blizzard or a big snowstorm, economic activity just falls off. You have less roll-off pulls, you have less tons into the landfills, you have less consumption, less people go to work, and then the productivity is a bit tougher as well. So it has been a bit of a headwind, but, you know, we're from Vermont. We're used to it, and, you know, we've brought a lot of those safety practices across, you know, our new markets, and we're trying to make sure, you know, as we operate in the snow and ice in other markets, we do the same things we've done well for 50 years.
Shlomo Rosenbaum: Okay. Then I just want to make sure I understand your commentary on the Ontario closure. Are you communicating that because of the actions you're taking, you don't expect to have an EBITDA impact going from '28 to '29? Like, you might see a revenue impact, but given the mix of what you're doing, you're trying to kind of structure it so that you won't have an EBITDA impact. Am I understanding that right?
Bradford Helgeson: Sort of. So we're -- as Ned mentioned, we're developing a plan to try and smooth it to the extent that we can in a way that makes sense operationally and, and with our reported financial results. I would say, though, that it is much less an EBITDA issue, as it is a, landfill amortization, EBIT, and cash flow issue. On those lines, on that basis, Ontario is extremely, expensive to run, much more expensive than any of our other sites. So what you may have is if you think about steady revenue or steady EBITDA, or maybe up, maybe down, we'll figure that out, but the underlying earnings and cash flow of that EBITDA will be much, much better.
Shlomo Rosenbaum: Okay. And then finally, is there any update on what's going on with New Hampshire's amended House Bill 707? Is there, is there any -- has anything changed over the last couple of months on that?
Ned Coletta: Yes. New Hampshire is a very complex situation for us today. As you know, we've been working for several years now to develop the new Granite State Landfill in Dalton. Our efforts are strong there. We continue to fight on two fronts from a legal standpoint, challenges, where our permit was denied for dormancy, and we filed appeals for that, where we don't think that's accurate, and we'll continue to fight. We think there's a lot of value to be created at the Granite State Landfill, and we feel like our legal standing is strong, and we'll continue to work to move that permit forward. One of the areas that John Casella has been heading up for a few years and continues to make a lot of progress is on 707, as you mentioned, and really looking at getting local control amended, where we can advance permitting at our existing North Country landfill. There was a settlement agreement years ago, which does not allow us to expand the landfill beyond its current footprint. However, we own many acres around this landfill. We could have a very efficient -- capital-efficient, good expansion into those areas, and it would make a ton of sense for us, our shareholders, the citizens of New Hampshire, to develop that capacity over time. It would be much needed for New Hampshire and let's face it, the Northeast, over the next 20 years to expand that site. So, you know, it's one of the quirks where there's a little bit too much local politics around expanding good, quality, existing sites, and that's the work we've been doing with the legislature. And frankly, you know, the good senators and representatives of New Hampshire have been working to fix because they look at a site like North Country, and they say, "You know, this is something that we should have the experts in the environmental agencies working on versus being governed by local politics." We need to look at capacity like that and really think through the long-term benefits to society. And it's very hard to replicate this. So where we sit today, as I said earlier, something John's had, is a big passion project of his, and it's another area he's continuing to help the team and looking to advance that. Not a lot more to say right now, other than, we're excited. We hope that bill does advance, and it allows us to create additional airspace at North Country. If it doesn't, as I said earlier, we continue to push hard on the Granite State site, and we're also developing some transfer capacity at the state. We're working on a rail transfer station. We're looking at other ways to move waste around the state of New Hampshire to meet the ongoing needs of our customers over time. But it's a complex situation and something we're very much focused on, having a good outcome for shareholders.
Operator: [Operator Instructions] Our next question comes from the line of Bill Grippin of Barclays.
William Grippin: Great. I just wanted to come back first to some of the comments you made on sort of your M&A outlook. And I think you mentioned, you know, there could be a couple larger opportunities coming about. Are those opportunities that have come about as a result of your sort of expanded Mid-Atlantic footprint, or are these kind of within the Northeast? And then, along those lines, you know, how do you think about your ability to internalize tons as you continue to grow and acquire in the Mid-Atlantic region?
Ned Coletta: Thanks, Will. So it's a little early to get into the details on a few of these opportunities we're looking at until they mature a bit more. But we're working both in, you know, the legacy markets in the Northeast and down into Mid-Atlantic as well. And, you know, we really like opportunities that are $50 million of revenues or $100 million of revenues. We find them to be, great complements to our existing business and, you know, right size to integrate effectively, and we're hopeful to close a few deals in that size this year. So it's a little hard to get ahead, but hopefully, some more exciting information here as we step into the year on that front, Will.
William Grippin: Yes. Understood. Appreciate that. And then, just to follow up on landfill pricing, I think you mentioned same-store price was up around 2.5%, and I think last quarter, if I remember, it was, you know, around 3%. That -- I guess in my sort of mental framework, that, that feels light, just given, you know, some of the capacity constraints we continue to talk about in the Northeast. Could you talk about maybe some of the underpinnings of, of that, you know, kind of 2.5% to 3% same-store landfill price? And, and maybe just looking out, you know, several years, how do you think that, that could trend?
Ned Coletta: Yes. We've come off an interesting period in the Northeast. I mean, while in the long term, the market is supply constrained, and we'll continue to see sites closing. Over the last couple of years, we've seen a few new rail moves open up out of the Northeast, out of the broader New York, New Jersey markets, which have moved some tons around in the marketplace. We have not directly lost customers, but there have been some decent amount of volumes that flowed out of the Northeast, which has put a little bit of a lid on pricing over the last two years. As I said earlier in my commentary, we're running pretty much full right now, or as full as we want to be. So we're back to the point for the first time, I think, in 2 years, where quality of revenue, driving returns is a big, big focus of our team. We're running fuller because we've done a great job getting internalization to our landfills, getting those transportation lanes opened up. But now it's time, as you said, to start to advance pricing again and focus on quality of revenue. And you know, it's everyone's looking out 10 years and saying: Where is this market gonna be? And you can't just, you know, build a transfer station or advance the strategy in 12 months time. These take a long time. So as some of these new opportunities opened up over the last couple of years, we did see a little bit of an ebb in the market. Now we're back to a position I feel like we've been in for the last decade, where, let's focus on quality of revenue.
Operator: I'm showing more further questions at this time. I would now like to turn it back to Ned Coletta, for closing remarks.
Ned Coletta: Thank you very much. In closing, I want to reiterate how proud I am of the team and how excited I am to lead Casella into our next 50 years of growth and achievement. We've built a company defined by disciplined execution, thoughtful growth, long-term value creation, all grounded in our mission of safe, sustainable waste services. Thank you for joining us today. We look forward to speaking with you next quarter as we continue delivering on our mission. Thank you.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.